Operator: Ladies and gentlemen, thank you for standing by and welcome to the Vireo Health International 3Q 2020 Earnings Conference Call.  I would now like to hand the conference over to Mr. Sam Gibbons with Investor Relations. Please go ahead.
Sam Gibbons: Thank you, Sharon. Thanks everyone for joining us. With me on today’s call is our Chief Executive Officer, Dr. Kyle Kingsley; and our Chief Financial Officer, John Heller. Today’s conference call is being webcast live from the Investor Relations section of our website and dial-in and webcast details for the call has been provided on Slide 3 of today’s presentation, which is also available on our website.
Kyle Kingsley: Thanks Sam. Good morning everyone and thank you all for joining us. We'll lead with our usual discussion of the highlights from the quarter, and I'll hand the call to John for his review of the financial results. I'd also like to remind everyone that our reported results exclude the impacts of our former cultivation and processing subsidiary Pennsylvania Medical Solutions, or PAMS, which we sold to a subsidiary of Jushi Holdings in a transaction that closed in August. Please turn to Slide 4, where we provided a summary of highlights from the quarter. Total revenue of $13.4 million, including PAMS, was in line with our expectations. We grew 68% year-over-year. We experienced revenue growth across each of our operational markets and are pleased with the progression of gross margin improvement and continued discipline and cost controls, which resulted in sequential improvements in adjusted operating expenses and SG&A as a percentage of sales. For the past several quarters, we've been focused on executing our core strategy and our team has been working tirelessly to position our portfolio of vertically-integrated assets to produce sustained and profitable growth. We believe today's results indicate that we're closing in on an inflection point in generating cash flow from operations and we still haven't even benefited from any of the tailwinds that come from transitioning to recreational-use markets. We also not yet capitalized on any of the substantial scale we're bringing to bear in Maryland - in Arizona in coming months. Arizona is poised to become our first state to permit recreational market sales after voters approved a ballot initiative after this month's election. And we continue to expect the majority of the rest of our medical markets to enact some form of regulatory change to their program frameworks within the next year. I'd encourage any current or prospective investor to investigate a few case studies of revenue growth trajectories in other states that have made the important transition from medical to recreational-use, and then consider the fact that Vireo was already well-prepared for these transitions as we invested heavily in CapEx to expand manufacturing capacity across our footprint over the past 18 months.
John Heller: Thank you, Kyle, and thanks everyone for joining us on today's call. I'll begin with a review of our reported results on Slide 5 of today's presentation. Please keep in mind that all numbers stated refer to U.S. dollar amounts unless noted otherwise. Total revenue, including PAMS, increased 68% year-over-year to $13.4 million. Excluding PAMS revenue was $11.9 million, an increase of 67% as compared to the third quarter of last year and 11% sequentially compared to the second quarter of this year. Retail revenue through our own dispensaries was $9.9 million, an increase of 61% compared to $6.2 million in Q3 2019 with the increase primarily driven by greater patient enrolment and average revenue per patient in our Minnesota and New Mexico markets, as well as contributions from our two retail dispensaries in Pennsylvania. Wholesale revenue of our products to third party was $2 million in Q3 2020 and reflected revenue from B2B customers in Arizona, Maryland, New York, and Ohio. Before biological adjustments required by IFRS, the company generated Q3 2020 gross profit of $5.1 million or 43% of revenue, as compared to $1.8 million or 25% in the same period last year.
Operator:  First question comes from Eric Des Lauriers . Please go ahead.
Eric Des Lauriers: Thanks for taking my questions guys and congrats on the quarter. Really impressive is trying to make a profitability. I'd like to first focus on that impressive gross margin improvement; we saw over a 1000 basis point expansion quarter-over-quarter. Can you comment on the source of that expansion? Any specific markets you want to call out that are driving that or maybe some greater efficiencies on retail or cultivation operations? Just any more specific color on that expansion would be great?
John Heller: Yes. So primarily if you look at year-over-year it's just a continuum cost control on our production facilities, increased yield and - it's more efficiency in our production. And if you look at Q3 of ’19, we had some one-time costs in New York related to some improvements, and there was some downtime in the production facility last year that resolved in some higher per unit inventory costs that flowed through in Q2 of this year. So that's responsible for some of the margin improvement both year-over-year and sequentially, but primarily it's just the number one driver is just continued cost control and yield improvement.
Eric Des Lauriers: And then, I'd love your thoughts on the Minnesota market post-election, and the potential for regulatory change. It has a bit of a crystal ball question, but do you think meaningful reform is likely in 2021 and what is the appetite for change, whether it's permitting flower or adult-use sales in Minnesota, just any color to the extent that you do have any insight there?
Kyle Kingsley: Yes. Good morning, Eric. Kyle here. Yes, it's difficult to see the future there. I can say that both sides of the aisle, both the Republican controlled Senate and Democrats controlled house have interest in controlling costs for our patients and helping to limit kind of opioid and opioid crisis in the States, a major path there is the inclusion of flower into the existing medical program. And so that's really a primary focus for us. We'll work with legislators to evaluate any potential appetite for adult use, but if I had to guess that the more likely outcome here is the addition of flower to the program in Minnesota. Again, as you realize, our two primary markets, Minnesota, New York don't even allow for the use of flower here by our patients, which provides for risks, potential upside for us with when those changes happen, which I do feel is inevitable. I don't know that it'll happen this year, but that's our hope.
Eric Des Lauriers: Okay. Yes, that makes sense. And, yes, certainly a very substantial upside once flower comes out, you know, 50% of sales pretty much across all markets here. And that's a good segue into my last question here. So the cash you guys have brought in since the end of Q2 has been really impressive especially when factoring in that $46 million credit facility. Can you talk about how that credit facility positions you guys to take advantage specifically of the New York market if adult use legalization is passed early next year as it's looking like it will?
Kyle Kingsley: Yes. When I think of the credit facility it’s tranched out and the other warrants re-price with each subsequent tranche. So we liked that character of it. One of the main drivers for us kind of pulling the trigger, there was growth opportunities in places like New York; I looked across all of our core markets and there is little question that we have opportunity for additional scaling, places like New York you have grossly undersized cultivation capacity when you look at the transition to adult use, depending on the exact timing, it's a big opportunity for us. And you hit it on the head that does really open doors for us as far as a further expansion in places like New York and frankly, any core market that's transitioning with adult use, but New York is a primary focus.
Operator: Next question comes from Matt Bottomley with Canaccord.
Matt Bottomley: Just wanted to go back to Minnesota. I'm wondering if you can provide any data on, whether it's percentage increases or absolute number in patients. What is the uptake has been maybe quarter-over-quarter, and so far this year, and then any other updates on the planned retail locations for your additional dispensaries and that state if there is any restrictions on where you can or can't open?
Kyle Kingsley: Yes, absolutely. So roughly speaking again, these are estimates about 150 new patients were entering the program in Minnesota for the year plus leading up to April of this year. We saw an interesting upward inflection sort of contemporaneously with COVID where we're now looking at between 230 and 250 patients joining each week. So very interesting uptick there. Can't really attribute that to anything other than maybe COVID. Although, you look at markets generally speaking, there is an inflection point at some point, but usually it's tied to changes to the program, but that was interesting to see that absent the addition of flower into the program, but very encouraging we've been getting good traction in the new Hermantown, Duluth facility. And you mentioned that we have three additional facilities sort of in first and second tier suburbs of the greater Minneapolis area, very excited about those; primary driver for patients selecting dispensaries is location. And so we're excited to bring three new dispensaries those dispensary location or those population centers that are currently without dispensaries. Matt, I missed the second aspect of your question there. Sorry.
Matt Bottomley: No, no, that was great. I was just curious both on the patient uptake and then the retail location update as well. So that's very helpful. And then, yes, if you just kind of look at your messaging over the last little while here, so you had the dispositions in Pennsylvania in Ohio. So now that your balance sheet is it's pretty shored up here and there is obviously ability for incremental capital based on all the events you've outlined on the call. What is your - I guess the temperature out there for starting to invest some of that potential capital into going deeper in these markets. You know, you've telegraphed where your capital expansions are. I imagine Arizona retail would be something, but are there things that you don't have today in existing markets you're in that you could see M &A being the way to go through it, or is the next two, three, four quarters here just on continued execution and what you guys have?
Kyle Kingsley: Yes. Based on our analysis, there is a lot more - it's a lot more efficient use of capital for us to double down in existing markets. For example, you know, substantial scale expansion in a place like New York, conditional scale expansion in a place like Maryland or Arizona, that's probably going to be higher yield than these rather expensive and M&A actions in the retail for Arizona and Maryland for example. We're very open, but we were kind of letting the ROI dictate where we put these dollars. Hopefully, we can do all the above eventually, but right now we're just going strictly to the highest IRR. It's very interesting how six months makes a difference. You know, we're looking at capital preservation and then we flipped completely to the most prudent, highest yield capital deployment now, which is a really pleasant transition.
Matt Bottomley: Perfect. And then last question for me. Given that, I know you're, you're waiting until the spring for guidance and totally understood why. Is there any other color you can give maybe for Q4 and Q1 of ’21 of what to expect, maybe directionally on the top line, it seems like a large majority is still Minnesota and New York and those have longer-term growth profiles, but I don't think in the next three to six months here it's expected to be anything materially different, and correct me if I'm wrong. So should we expect the kind of $12 million, $13 million, $14 million a quarter type prints? Or is there other maybe wholesale channels you might be turning on that might make that a little more variable than those numbers?
Kyle Kingsley: Yes, we're comfortable we'll continue to see this sort of a drum beat upward organic growth in our existing retail. We do have these great step functions in the form of Arizona and Maryland coming online. And what we can see is that the way you get these step functions as substantial scale on the production side and subsequent wholesaling, but we also remember to have a smooth dispensary is coming online here in the next six weeks and so excited to see the effects of that on quarter one and beyond.
Operator:  And we have a question from Patrick Sullivan . Please go ahead.
Patrick Sullivan: Thank you for taking my questions. Congrats in the quarter. I'm online here for Graeme Kreindler. I'm just wondering if you can talk a little bit about whether there is any more interest in actual divestiture of non-core assets. I know you've definitely shrinking your capital position pretty strongly over the last quarter. But is there anything else you're looking to take off the table?
Kyle Kingsley: Yes, certainly everything has its price. I look at our licenses in Puerto Rico, the licenses in Massachusetts, the very interesting 14 acres with a production facility in Nevada. And it's an interesting discussion internally on development versus divestiture, and it really will come down to the price, but a lot of these places we're not in a hurry. We have some pretty interesting assets that could have significant upside in the future. We are laser focused right now on our core markets, but we're always open to conversations in additional divestitures if they make sense.
Patrick Sullivan: And then I guess, shifting to the New Mexico market, not one we hear much about, I thought I understood it to be that your cultivation is capped at some sort of number of plants. And I wonder how - if that had been changed or if I'm misinformed there - and how that kind of fits into actually growing your platform in New Mexico?
Kyle Kingsley: Yes, a great question. The current limit is 1,750 plants if I'm not mistaken, which is a pretty significant limit, absent partnerships, we're working with other cultivators to try to increase that number. A big determinant of kind of the path for New Mexico would be the final adult-use legislation, which we anticipate we'll pass this legislative session that might be delayed into mid to late spring based on COVID. But, yes, that's going to be a major driver. We do anticipate that plant limit will be elevated. There are other things you can do large plants to really kind of maximize your production through the 1,750 limit, but that is - if you hit it on the head, that's a - it's a major driver we do anticipate that will change with adult-use legislation.
Patrick Sullivan: And then final one, you've mentioned a few times in your press release the conversion of your retail to launching your Green Goods branded stores. I'm just wondering how that's being received by patients and customers?
Kyle Kingsley: Yes, very well thus far. Remember a lot of our business is actually in the vestibule or curbside pickup, so they haven't been able necessarily to appreciate the interior of the stores, but these are - this is best-in-class retail that we're presenting here. Very well received by the media, very well received by the patients who have been able to access the stores, very excited over time to sequentially improve our retail footprint, so that these are competitive long-term and the Green Goods rebranding is a big part of that initiative.
Operator:  And we have a question from Paul Piotrowski with M Partners.
Paul Piotrowski: Just backing up to the margins again, so you talked about cost controls, yield improvements. Can you comment on sort of which state exactly drove the improvement? Or which one drove the most?
Kyle Kingsley: Yes, the biggest margin improvement year-over-year was in New York.
Paul Piotrowski: Okay.
Kyle Kingsley: Yes, Paul, I will just also point out that the prior year quarter, we were really just getting up to speed in Maryland. So it didn't quite have as much revenue from, let's say, yet, but still a fair amount of expense. So, that's important to be aware of.
Paul Piotrowski: Okay and one more follow-up on sort of the Green Goods banner. Can you guys give just a bit more detail on what you see and how they perform versus the other dispensaries or if you can sort of quantify in any way?
Kyle Kingsley: Yes, a bit early to do that here. Remember we have sort of a captive audience in Minnesota. And so, we do anticipate we'll continue to eat up market share in Minnesota with the transition, but it's a little bit early for us to say the effects of the change, positive so far.
Operator:  And we do not have any telephone questions at this time. I will turn the call over to the presenters.
Kyle Kingsley: Thanks again for joining us this morning and happy Thanksgiving for those who dialled in from the United States. We appreciate your continued support and wish all of you a happy holiday season. We look forward to speaking to you again in the New Year. Thanks.
Operator: This concludes today's conference call. You may now disconnect.